Operator: Welcome to the Ituran Fourth Quarter and Full Year 2015 Results Conference Call. [Operator Instructions]. I will now hand the call over to Mr. Ehud Helft, GK Investor Relations. Mr. Helft, would you like to begin?
Ehud Helft: Thank you. Good day to all of you and welcome to Ituran's conference call to discuss the fourth quarter and full year 2015 results. I would like to thank to our management for hosting this conference call. With me today on the call are Mr. Eyal Sheratzky, CEO, Mr. Eli Kamer, CFO and Mr. Udi Mizrahi, VP, Finance. Eyal will begin with a summary of the quarter's results, followed by Eli with a summary of the financials. We will then open the call for the question-and-answer session. I would like to remind everyone that the Safe Harbor statements in today's Press Release also covers the content of this conference call. And now, Eyal, would you like to begin please?
Eyal Sheratzky: Thank you, Ehud. I wouldlike to welcome all of you and thank you for joining us today. We are very pleased with our results. Despite the continued currency head wind in the fourth quarter we grew our operating income by over $300,000 compared with last year. While if it wasn’t for the devaluation of the real, shekel and peso we would have had increased our operating income by $2.7 million compared with last year. This improvement are the initial fruits of our exceptionally strong subscriber growth seen throughout 2015 adding a record of 131,000 subscribers while our previous record subscriber rose stood at 76,000 in 2014. This growth was due to the extensive work we have done over the past few years to bring new products to market which expanded our addressable markets by targeting the lower end in Israel and in Brazil, the uninsured segment of the markets. We do believe that our efforts have expanded our subscriber quarterly growth trend from the 15,000 to 20,000 rate that we were seeing in 2014 to the 25,000 plus range we’re seeing now. These higher level of subscriber growth prove that we are seeing tremendous traction in both Brazil and Israel' for our new products and services. I want to stress that while every new subscriber that bring us additional revenue we have an existing operating infrastructure is in place to support them which normally doesn't need to be extended. However in 2015 our growth in subscribers has been at close to double the rate we have seen historically. We therefore have seen some increase in cost to support this jump in subscriber numbers. Going forward from this point onwards as our subscriber base continues to grow we believe the operating leverage inherent to our business model will allow us to bring much of the new revenue gross down to the bottom line. Our subscriber growth is the prime indicator which demonstrates that our core business continue to grow very soundly and remains as strong and as healthy as ever. While subscriber has demonstrate the fundamental underpinning of our businesses are exceptionally strong, the strengthening of the U.S. dollar versus the local currencies in which we sell and compare with last year in particular the Brazilian real has made it hard to show that growth in U.S. dollar terms over the past year. I would like to draw your attention to the gross in local currency term which discount the effect of the weakening of the various local currencies we operate in versus, while in the U.S. dollar terms our first quarter revenues were at similar level to those of last year. In local currencies our revenues grew overall by 20% by subscription revenue growth in local currencies by 22%. Demonstrating the operating leverage our first quarter operating income would have shown 30% growth over the last year. We generated operating cash flow in the quarter or $7.7 million ending the year with $28.9 million in net cash and equivalents. We continue to share the fruits of our success with our shareholders and during the fourth quarter we declared a dividend of $6.5 million. This amounts to dividend paid in 2015 of 16 million or 64% of our full year net income. I would now like to provide you with a brief update with regard to our performance in our two main regions, Brazil and Israel. Brazil continues to grow nicely and there is minimal impact on us from the weak economy environment, on our growth and success in that region. This is because we see our businesses still at an early stage in the Brazilian market with low penetration, with much potential to grow and expand our success. In September last year, our subsidiary in Brazil formed a joint venture called Ituran Road Track, 50% owned by us. IRT signed four year agreement with one of the major and global auto carmakers in Brazil to provide a customers which telematics [ph] services on various new car models they sell for the first year. These services can include vehicle security, personnel safety, remote diagnostic, web and app application and concierge. Disagreement very much strains our position in Brazil enabling us to evolve into a player in the automotive industry after two decades of operating in an aftermarket segment only. It will bring us hundreds of thousands of additional subscribers positioning us as a clear market leader in Brazil. We also believe this agreement also opens up many future opportunities for us in Latin America. Right now there are some expenses an investment in infrastructure which can be seen in our share affiliates line on our income statement as well investment activities in cash. As we mentioned last quarter we expect the business to become profitable in 2017 and there on increasingly are creative Ituran. In Israel as the major player, our business continues to grow in line with new car sales. We stood at the record of 255,000 vehicles in 2015 up 6% over last year. At the same time we continue to penetrate the lower segment of the market through our Ituran Safe Service. Overall we remain pleased with the strengths and stability of the Israeli business and also supporting the overall growth in net subscribers. One last thing I would like to mention is that we have chosen to delist our shares from the Tel Aviv Stock Exchange. Over this [ph] we have become an increasingly international business and the increasingly international make up of our shoulders based [indiscernible]. We believe it will be beneficial for our shareholders that share trading and volume should be consolidated on one international stock exchange rather than two. I stress that the Tel Aviv delisting will have no impact on our continued NASDAQ listing whatsoever and all shareholders both in Israel and elsewhere will continue to be able to trade our shares on NASDAQ. In summary from a business perspective 2015 has been one of the most successful periods in our history adding a record number of subscribers in a short period. We remain very well-positioned to benefit in the coming quarters from our strong growth in subscribers and we’re working hard to continue our success into 2016 and beyond. I will now hand the call over to Eli for the financial review. Eli?
Eli Kamer: Thanks, Eyal. Revenues for the fourth quarter of 2015 were $43.8 million up 1% when compared to revenue of $43.5 million in the fourth quarter of 2014. When excluding the currency impacts of the strengthening U.S. dollar our year-over-year growth in revenue would have been 20%. Revenue break down for the quarter was $32.1 million coming from subscription fee at 3% year-on-year decrease in a local currencies revenue increase by 22% over the fourth quarter of last year. Product revenues were $11.7 million which were a 10% increase over the same quarter last year, in local currencies product revenues grew by 14% compared with those of the fourth quarter last year. The geographic breakdown of revenues in the fourth quarter was as follows, Israel, 52%, Brazil 33%, Argentina 10% and United States 5%. Growth margin in the quarter was 50.9% compared with the gross margin of 54.4% in the fourth quarter of last year. Operating profit for the fourth quarter of 2015 was $10.3 million an increase of 3% compared with an operating profit of $10 million in the fourth quarter of 2014. Excluding the impact of the change in exchange rates over the period the operating profits would have increased 30% over the fourth quarter of last year. EBITDA for the quarter was $14.2 million or 32.3% of revenues, an increase of 1% compared to an EBITDA of $14.1 million or 32.3% of revenues in the fourth quarter of 2014. Excluding the impact of the change in exchange rates over the period the EBITDA would have increased 27% over the fourth quarter of last year. Net profit was $6.2 million in the quarter or fully diluted EPS of $0.29. This is compared with the net profit of $7 million or fully diluted EPS of $0.53 in the fourth quarter of 2014. Excluding the impacts of the change in exchange rates over the period the net profits over the periods the net profits would have increased 15% over the fourth quarter of last year. Cash flow from operation during the quarter was $7.7 million. In terms of full year 2015 numbers revenues for 2015 reached $175.6 million, a decrease of 4% of revenues of $182.1 million in 2014. Excluding the impact of this change in exchange rates over the last year the revenues would have increased 15% over the last year. The subscriber base grew by a record of 131,000 net subscribers during 2015. Revenue break down for the year was $127.7 million coming from subscription fees and product revenues were $47.9 million. Gross margin in the year as at 51.2% compared with 53.3% last year. Operating profit for 2015 was $40.6 million compared with an operating profit of $45.9 million in 2014. Excluding the impact of the changing exchange rate over the period the operating profits would have increased 11% over the last year. EBITDA for the year was $52.6 million or 30% of revenues compared to an EBITDA of $58.1 million or 31.9% of revenues in 2014. Excluding the impact of the change in exchange rates over the past last year the EBITDA would have increased 14% over last year. The share in loss of affiliates net was $2.4 million in 2015 compared with $400,000 last year. The increase was due primarily to the investments in IRT, Ituran joint venture providing telematics services in Brazil. Net income in 2015 was $25 million or fully diluted earnings per share of $1.19. This is compared with the net income in 2014 of $30.4 million or fully diluted earnings per share of $1.45. Excluding the impacts of change in exchange rates over the period the net profits would have increased 5% over the last year. Cash flow from operations for 2015 was $35.9 million. As of December 31, 2015 the company had net cash of $28.9 million or $1.38 per share, this is compared with $40.8 million or $1.94 per share at December 31, 2014. For the fourth quarter a dividend of $6.5 million was declared for the full year of 2015, the total dividend declared including that of the fourth quarter of 2015 was $16 million representing 64% of the full year net income at the same rate as last year. The dividends record date is March 23, 2016 and the dividend will be paid on April 6, 2016 net of taxes and levies as the rate of 25%. And with that I would like to open the call for question and answer session. Operator?
Operator: [Operator Instructions]. The first question is from [indiscernible]. Please go ahead.
Unidentified Analyst: Just a question, we are seeing a lot of companies being Tel Aviv who are doing global business such as the Strauss Group, ICL Group [indiscernible] we see a lot of companies and they don't go out from a Tel Aviv service center. We would like to know what are the reasons, what was the decisions based on when they decided to delist the stock is there decreasing now 10% in Tel Aviv. We would like to have some color about this and different the question what would be your next engine for growth in 2016 if we talk about products. What the products will be that will take you in the future?
Eyal Sheratzky: Thank you off first for your first question so I will be first sarcastic and then I will give you the answer. There are many things different from Ituran the companies that you mentioned. We will be happy to host you and you see some different, industry different things. It doesn't matter what others are doing by the way but to be more serious if I will try to look from the market, from stock exchange point of view, all the companies that you mentioned are in different size and different peer index than Ituran and this is why it's not the same relevant means that they have we have. This is direct to your question. Regarding the growth that we see for next year, I think based on what we said and what I said we believe that in Brazil the potential is still big, the penetration of our industry which we are the leaders is quite small although we’re here more than 15 years and such a huge market with such a huge changes in the market and I'm not talking about the economic situation. It's a very good ground for us to continue and grow and as you could see in 2015 we had the highest gross of subscriber ever and dramatically higher. We believe that this give us the confidence that the growth will continue in Brazil and we also believe in Israel.
Unidentified Analyst: How long do you think you can continue if the GDP going down by 3% or 4% and the economic just like you mentioned if we do talk about the economics, the economics there is not in good shape.
Eyal Sheratzky: You're right but let me try to illustrate the correlation between the economy and our industry. The interest of the economy on car production lines or car importing sizes in Brazil declined from about 4 million on the prosperity years of 2007 or even 2013 to 2015 is almost 50%. If it was about 4 million now it's about 2.3, 2.4. When our industry represent in total an annual growth of subscribers of about 200,000 or 150,000 there is not very large correlation, whether there was 4 million cars this year or 2.5 million. You're right it has some influence. You have to be more customized for specific models or specific needs, but still people has enough money with the current GDP to buy 2.5 million cars a year which is the lowest ever. Even if it will continue and it will be 2.2 million in 2017 still our industry penetration is so small compared to the total volume so our sensitivity is quite low and this is the actual and the relative situation. You're right that by definition the GDP is declining and the growth of car industry is declining you expect that industries which are attached to it will have the same situation. This is right while our penetration would be for example like in Israel much more mature. This is not the case we currently enjoy. You ask how many years, I cannot look 10 or 20 years ahead but for the next few years if this will continue to be the correlation or this will be the situation I still have the confidence that we will succeed to grow. Whether it be more or less still it will be additional income, additional subscribers and additional contribution to our profitability and profits and this is what's important.
Operator: The next question is from Matthew Handorf of Harbor Assets Management. Please go ahead.
Matthew Handorf: If you could just talk a little bit about the Ituran Road Track JV, just two questions one, is it going to be reasonable to assume that the affiliate income line should be roughly at a 1 million burn rate per quarter until your breakeven later in the year and then two are there any data points you can kind of given on units older or anything to help us just understand how this is progressing?
Eyal Sheratzky: First as a policy we're not providing guidelines but just to be very general we believe that it's not far from what you are measured but it can be more or less, it's is very dependent on how the operation will move on. But we are not talking anyway on something which is very material. This is we already declared and I will say it again here. Regard the number, regard all the numbers we’re now specifically at this stage when everything is only at the beginning. When we didn't feel yet from the operational point of view having hundreds of thousands of subscriber, I still want to be conservative and not get into details also some of it based on confidentiality that we have with our customer under the agreement. I believe that once it will be more material we will release more data and the things will be at the beginning shown in our financial statement and then we will be the best to release more and more data but you have to understand since we are not controlling this entity and with subject to many restrictions even if I want to do so now it's impossible from Ituran point of view.
Matthew Handorf: Okay. And then just a follow up question around the delisting, will the company consider a stock buyback just given the low valuation and obviously there's this pressure with certain holders needing to sell shares off the Israeli Exchange? Thanks.
Eyal Sheratzky: First of all Ituran did very aggressive buyback, it was six years ago or seven years ago or - it's history but we are sure that we can do it. Our Board of Directors until recently took a decision to pay dividends as a tool which is from financial point of view it's similar to a buyback but these times or currently we are considering it as a tool again. But it is depend on our Board of Director and currently have nothing really that I can say, so it can be or cannot be but I really accept your question and we take it into our consideration.
Matthew Handorf: Okay. Great. Well certainly shareholders would look favorably upon the buyback and then just one final question, in the U.S. it looks CalAmp is acquiring LoJack, does that have any impact on your business, give you any opportunities or largely a non-issue, that's it for me. Thank you
Eyal Sheratzky: When I see it from today I think it's a not a big issue, when it started and CalAmp an offer we've been involved, had some discussions in order to understand whether we have to play this field. I checked all the data, rechecked things regarding LoJack and regarding the influence and we decided not to compete and not to be there. We feel that first of all from the valuation type of build, it was something that we couldn't justify and from strategic point of view we didn't find it interesting specifically not when the price was on the table. So I think it's a non-issue but it's something that we had to look on it.
Operator: [Operator Instructions]. There are no further questions at this time. Before I asked Mr. Sheratzky to go ahead with his closing statement I would like to remind participants that a replay of this call will be available tomorrow on Ituran's website www.ituran.co.il. Mr. Sheratzky would you like to make your concluding statement?
Eyal Sheratzky: Yes. On behalf of the management of Ituran I would like to thank you for your continued interest and long term support of our business. Have a good day everybody. Thanks.
Operator: Thank you. This concludes the Ituran fourth quarter 2015 results conference call. Thank you for your participation. You may go ahead and disconnect.